Operator: Ladies and gentlemen, welcome to ServiceMaster’s Second Quarter 2015 Earnings Conference Call. Today’s call is being recorded and broadcast on the internet. Beginning today’s call is Jim Shields, ServiceMaster’s Vice President of Investor Relations and Treasurer and he will introduce the other speakers on the call. At this time, we will begin today’s call. Please go ahead, Mr. Shields.
Jim Shields: Thank you, Charlene. Good morning and thank you for joining our second quarter 2015 earnings conference call. Today, you will hear from ServiceMaster’s Chief Executive Officer, Rob Gillette; and Chief Financial Officer, Alan Haughie. For those of you who haven’t had a chance to download the investor presentation from our website, I will walk you through the agenda items shown on slide two. Rob will lead off by providing a summary of our second quarter financial results and then review our performance by segment. Alan will then review our consolidated results. Rob will then provide summary comments before opening the call to your questions. Before we begin, I would like to remind you that throughout today’s call, management may make forward-looking statements to assist you in understanding the company’s strategies and operating performance. As stated on slide three, all forward-looking statements are subject to the forward-looking statement legends contained in our public filings with the Securities and Exchange Commission. These forward-looking statements are not guarantees of performance and are subject to the risk factors contained in our public filings that may cause actual results to vary materially from those contemplated in the forward-looking statements. The information discussed on today’s call speaks only as of today, August 04, 2015. The company undertakes no obligation to update any information discussed on today’s call. This morning, ServiceMaster issued a press release filed with the SEC on Form 8-K highlighting our second quarter 2015 financial results. We have posted a related presentation, both of which could be found on the Investor Relations section of our website. We will reference certain non-GAAP financial measures throughout today’s call and we have included definitions of these in our press release, which is available on our Web site. We have also included reconciliations of the relevant non-GAAP financial measures to the most comparable GAAP financial measures in our press release in presentation in order to better assist you in understanding our financial performance. All references on the call for EBITDA are to adjusted EBITDA as defined in our press release and the figures labeled as such therein. I will now turn the call over to ServiceMaster's CEO, Rob Gillette for opening comments.
Rob Gillette: Thanks Jim. Good morning everyone, thanks for joining us today for second quarter 2015 earnings call. This quarter is a milestone for us. It marks one full year since we reentered the public markets. We’ve accomplished milestone over the last 12 months that we made focused on growing our business. We have entered new services expanded our sales channels and streamline our operations. We have invested in hiring, developing and retaining the best employees and we have strengthened ServiceMaster’s strong brand by investing and marketing and customer service. As we used to work, we're focused on results and are leveraging or capabilities across our businesses by capitalizing on our unique service network and employees, contractors and franchisees. We continue to enhance our customer service by investing in digital and mobile technologies. Our goal is to expand our service offering, reach a wider audience and provide a seamless cost effective experience to ServiceMaster’s 5 million customers. Now let me turn the second quarter results shown on page four. We have a strong top and bottom-line growth. Revenue increased $33 million or 5% versus prior year. The increase was driven by the continued development of the direct-to-consumer channel out of American Home Shield business and growth in new services at Terminix. Our EBITDA improved $20 million or 12% compared to prior year, driven primarily by increases of $10 million of AHS and $8 million of Terminix. The adjusted net income of $82 million, an improved $30 million or 58% compared to prior year. Adjusted diluted earnings per share $0.60 increased $0.04 versus prior year. Bear in mind, diluted shares outstanding increased by 44 million for this quarter compared to last year largely as a result of the additional shares issued at the time of our IPO. Cash flow was very strong in the second quarter. Pre-tax un-levered free cash flow of $192 million was an increase of $36 million and represented cash contribution rate of about 101% of EBITDA. On July 15th, the company gave notice that it has elected to redeem inflow $488 million, at 7% senior notes effective August 17th. Alan will speak more about our financing activity later, but I would like to note that on completion of the refinancing we will have reduced our debt well over $1.1 billion. Now turning to page five. All of our business units have been in great strive in the past year. Terminix’s broaden portfolio have been on [indiscernible] services and created growth opportunities by introducing new services such as [indiscernible] by diversifying of offering of new services, Terminix has built a more resilient business model where it’s position for long term growth. By investing marketing and technology American Home Shield has expanded beyond its tradition proposition of attracting home buyers and sellers. Today, HF is focused on accelerating growth targeted at home owners and seeks meaningful dollar savings and enables large one time repairs. By focusing on each direct consumer customers, HF is driving adoption and home warranties by continuing to invest in marketing and creating consumer awareness in the market that it has 3% or 4% penetrated. The franchise service group is repositioned for growth by working with our franchises we are expanding a local and national account pipeline and identifying and identifying opportunities to expand our footprint and better serve our customers. People value simple, easy to access services that are dependable, convenient and on time. As technologies advance, customers’ expectations with regard to the assets and quality of these services are increasing. We need to meet these increased expectations by delivering simple, effective access to our services across the variety of digital and mobile platforms. This means, for example allowing real time tracking of text by customers, providing customers of real time text and email notifications, enabling customers to provide us with continued feedback through mobile devices. By standardizing our processes and developing flexible and digital noble technologies, we’re capitalizing in our scale and breadth of our operations. We operate in large primary markets with few national competitors. By developing the right consumer centric technology, it puts us in a position to capture a greater share of these markets and accelerate our growth. Moving to segment performance. Slide 6 shows a strong first quarter results for Terminix. Revenue was $395 million, increased to $90 million or 5% compared to the same period last year. EBITDA for Terminix was $101 million up $8 million or 9% compared to last year primarily reflected in a flow-through effect of higher revenue and lower selling cost. EBITDA margin improved 90 basis points year-over-year. Slide 7 provides more detail in Terminix revenue growth by channel as you can see we achieve year-over-year growth of 5% reflecting a group pricing and an increase in the sales, lease services partially offset by decline in core termite completions. We’re focused on growing our traditional termite services. As I mentioned last quarter, we’re continuing to evaluate in alternative pricing, products, customer buying preferences and sales channels. Although we've maintained our market share in Termite over the past several years, on a revenue basis, our switch from a liquid product to a higher priced main product has resulted in the lower unit market share. We believe it switch to paint which has higher retention, better efficacy and greater life time value with the right decision. But we believe there are opportunities to better position this product. Over the next several months we are implementing a series of pricing, marketing and sales initiatives the reposition our main products in the market. With Terminix strong brand recognition and excellent customer service, we believe we are in a position to catch a greater share of the termite market with all these actions. Renewal revenue flat to prior year has improved pricing that offset by 1.9% decline in a contract with customer account at the end of June. Moving to pest control, 7% increase in revenue reflects improved pricing mix and increase in the mosquito sales as in onetime services in particular bed bug. Although pest control customer count is down this quarter, onetime sales are increasing, mosquito services are showing traction and the rollout of new pricing and service plans is being well received by our customers. We are very pleased with the direction of the business over the past year. American Home Shield results are shown on page 8. American Home Shield performed very well with strong top and bottomline growth for the quarter. Second quarter revenue was $251 million or 8% compared to prior year driven by our investment in marketing and the direct to consumer channel. Second quarter EBITDA was $71 million, an increase of $10 million or 16% compared to a year ago. This increase primarily reflects the flow through effect of higher revenue, partially offset by an increase in claim costs. During the quarter we realized that $6 million gain on sales of investment which is balanced against a $5 million increase in marketing spend compared to a prior year. We continue to invest in digital media and explored new and better ways to engage our customers. The key to customer engagement is to continue to improve our analytical approach to targeting customers end markets. For example different types of products that provide different prices depending on factors such as home age and size and customers previous cancellation history with AHS. Combining these analytical capabilities with our digital efforts provides us with the ability to better position our products in specific customer segments and drive higher profitability. I would also like to note that this quarter the Consumer Financial Protection Bureau informed us that it has completed its review of AHS, and does not intend to take any enforcement actions. As we previously reported the CFPB had issued a civil investigative demand to AHS seeking documents and information related to RESPA and other laws. We are happy to get this matter behind us. The Franchise Services Group's second quarter results shown on slide 9, improved revenue of $60 million, that decreased a $4 million compared to prior year, driven primarily by converting our first 18 or 71 company owned Merry Maids branches to franchises. Presently there are another 20 branches that are either scheduled for sale or that we have accepted offers for purchase. We are over half the way through the process and hope to complete the conversion around the end of the year. Second quarter adjusted EBITDA decreased $1 million primarily driven by lower revenue and mix partially offset by cost reduction initiatives. Franchise Services Group continues to make progress and reposition itself. We are focused on increasing the number of growth oriented franchisees by selling license to new and existing owners and focusing on converting competitors and wide space, the Franchise Services Group is positing for growth in 2016. We have the right team in place that's focused on execution. I will now turn it over to Alan who will review our second quarter results in more detail and speak through our 2015 outlook.
Alan Haughie: Thanks, Rob and good morning, everyone. I will now cover our second quarter results as shown on slide 10. Year-over-year revenue increase of 5% or $33 million includes roughly $30 million of organic growth, a little over 4% when including pricing. Very similar impacts during the first quarter of this year and for the sake of completeness, that I should mention that the balance of the revenue increased of $3 million reflects Terminix acquisition of about $6 million, apparently offset by $3 million in revenue loss due to the ongoing mainly Merry Maids branch conversion. Significantly, the strong growth in American Home Shield will continue is about 8% organic growth of last year. I should also mention that revenue modest change in occur by which we recognize revenue in American Home Shield makes the revenue growth repair actually just a little softer than really is and all other things being equal which should be reflected and stronger than 9% revenue growth in the third quarter. And which is evidenced somewhat by customer account growth of 7% higher than the 6.2% reported in the first quarter when we have 9% organic growth. Terminix performance is also or even look in the first quarter with solid performance in the pet business and continued growth in new services more than offsetting a decline in traditional termite revenue giving Terminix organic growth of about 3% year-over-year. Gross profit increased by $19 million representing a conversion rate of 58% of incremental revenue into gross profit that is $90 million of incremental margin on $33 million of incremental revenue. And this is particularly strong performance given in experience higher air conditioning trend volumes in American Home Shield due to higher average temperatures in the last year. There is also a modest increase in the average and both claims Terminix and American Home Shield customer even we are growing the direct-to-consumer space and these customers in general tend to make one extra claim in that first year compared to the average customer who makes about two claims a year. So the impact of this higher claims cost is clearly more than offset by continuing operating leverage across the whole company which help gross margin as a percentage of revenue increased by 40.5% to 49%. Selling and general and administrative expenses increased year-over-year by $4 million but still fail on the percentage of revenue by 7 tangible points. However this SG&A increase does reflected by $5 million of additional marketing cost in American Home Shield and $4 million in additional same cost and commission in Terminix, probably upside by the continued deductions in infrastructure cost of about $4 million. And more than Terminix selling cost which I mentioned for the current period revenue, which is not true for the American Home Shield marketing costs, the benefit of which should be felt in future quarters. So I’m pleased to say that we’re continuing to improve our cost leverage following the turn of the momentum of our investment in group. Interest expense improved by $19 million over the prior year, which like in two major movements in debt structure. Firstly, using the proceeds of last year, IPO combined with balance sheet cash reduce gross debt in the third quarter of last year by about $835 million which low as quarterly interest expense this year by $13 million and secondly on the 1st April, this year we complete the redemption of $390 million 8% note. So in aggregate we’re dealing [indiscernible] $75 million and this we just cost interest expense by about $6 million compared to last year. Now investment income for the quarter includes about $6 million of gains on the American Home Shield portfolio compared to specifically zero last year, this with relative the trend from the first quarter from which we got $5 million less than investment income from prior year. Now gains and losses on the American Home Shield portfolio are intermediately included its components of American Home Shield and totally company EBITDA and for the first six months of the year, we have realized investment income all for about $7 million the same with last year. My comment being that this is not net sales of EBITDA down from 2014 and further American Home Shield, we have used the second quarter gains to some of the incremental marketing. The loss on extinguishment of debt is $14 million as two components, the 6% prepayment premium for the remaining $200 million of 8% notes made on the April 1, of $12 million, and the right opportunity of $2 million have previously capitalize debt issuance costs. Further as the result of, pre-tax income rather than $9 million compared to pre-tax income of $80 million last year. Now our effective tax rate for the quarter is about 39% similar to the expected full year rate and so second quarter adjusted net income as I reconcile in moment increased by $30 million over the prior year to $82 million. And EBITDA were $191 million of $23 million revenues prior year, largely reflecting the improvement in gross profit with investment in income Home Shield is essentially being reinvested in AHS marketing as we’ve already said. So slide 11, provides two reconciliations first we will have our segment performance measure adjusted EBITDA down to income from containing operation and then more of the reconciliation over the way back up to the adjusted net income. As a reminder, we exclude all amortization expense $12 million for the quarter from adjusted net income. And as discussed last quarter about $9 million of this amortization actually stands of the from definite line intangible of recreating [indiscernible] in July 2007. These intangibles are ready for the amortized and the associated amortization of these items were start decline in the second half of 2015. In fact the second quarter charge is $9 million during the first quarter of the third quarter charge will be $3 million and the fourth quarter charge will be $1 million. By definition, this lower amortization includes the U.S. GAAP net income but not adjusted net income. And also we naturally exclude the days on sales of Merry Maids branches from adjusted net income. Turning to the cash flow, the second quarter and first half simplified cash flow statements are provide on slide 12 to better explain our uses of cash. Pretax unlevered free cash flow is our preferred measure for the sustainable cash general of capacity of the company with components as shown on the top of the slide. Now I mainly discuss cash flow for the second quarter which we generated $192 million of pretax unlevered cash flow and $36 million improvement over last year. A little over half of this improvement came from EBITDA through the balance and working capital primarily improvements in accounts payable and general cash control. This performance again allows me to stress with the revenue growth in the quarter clearly did not require any working capital investments. And so this quarter's pretax unlevered cash flow represents -- version of EBITDA of 9 percentage points versus last year. Now future plannings of $26 million are $1 million higher than last year. This is of course significantly different from the interest expense rate I discussed a moment ago and this is because interest of our high yield bad bit or I should say loss paid semiannual in February and August. So last year under our best -- in second quarter and we did not make any interest in some high yield debt and our debt reduction efforts have naturally been focused on our high yield debt this quarter and rates of our interest payments of last year. So this -- discuss further the impact of a pending redemption of all forms of $88 million of our 7% load. This will be affected using a combination of cash and additional brand in our term debt. Unlike the firms for a - sake that we assume 100% redemption of our engineered -- accelerate about $8 million of interest payment from 2016 since interest on those high yields notes would have been pay inroad in midst of year 2016 while we have replaced this term debt on which we will pay interest monthly in 2015. And as a result of removing its final charge of -- high yield debt, we expect to incur third quarter charge of about $31 million reflecting $25 million or 5.25% in repayment premium and $6 million write-off of previously capitalized debt issuance costs. Now as mentioned on prior call, we will be a federal taxpayer in 2015, I know all payment for this quarter was delightfully low cash tax payments are expected to commence in full the third quarter and so we currently expect to pay roughly $60 million over the second half of the year. So combining the cash flow items, we accumulated about $159 million of cash available for debt reductions in the second quarter. So the debt repayment of $4,500 share and reflects the $25 million of cash it comes to be generally 8% note redemption, we call that we were doing $200 million of notes using $175 million of term debt, plus the 6% prepayment premium $12 million and the balance is mainly regular schedule interest expense. So at the end of the quarter, we fill in $61 million of cash. [indiscernible] reconciliation of $12 million debt cash was given two pre-tax unlevered cash flow is provided in the appendix and the press release. Slide 14 provides an update on our net leverage and interest coverage at the end of quarter. Net coverage at the quarter was calculated and it’s gross debt with the face value about $2.91 billion plus unrestricted cash of about 270 million. So that net debt is about 2.64 billion, we divide this cost by trailing 12 months EBITDA of $595 million to the net leverage of about 4.4 EBITDA compared to 7.8 times during the 2013 and 5 times during the 2014. Now assuming [indiscernible] at the rate 4.25% then once complete, we expect to be running at an annualized interest expense of no more than $156 million, a little under $39 million a quarter. On using the annualized $39 million per quarter, perspective interest expense are trailing 12 months EBITDA, $595 million at 3.8 times go forward expense. And in terms of the $700 million of swap we have replace and we’ll have a fixed to floating debt ratio of roughly 40 to 60. Now with respect to our outlook on slide 14, we are raising the low end of our previously providing revenue range, but are concerning on minimum 2015 EBITDA guidance. As Rob mentioned, it’s now over one year since we have IPO at that time he provided an outlook but where it is great consistent with historical performance with mid to long-term EBITDA growth products in the 68% rate. We’re very pleased that with the effectiveness of our digital technologies, our supply chain initiatives and our operating leverage, we continue to realize productivity gains and exceed our original outlook. With investments in both technology and marketing clearly bearing fruits with the plan to continue to reinvest in these areas for further growth. So we remain confident that we will generate at least $610 million of EBITDA for the full year 2015, while continuing to fuel growth well into 2016. That concludes my comments on ServiceMaster’s financial results and outlook. So now I will now turn the call back over to Rob for closing comments. Rob?
Rob Gillette: Thanks, Alan. As I mentioned before, we have accomplished a lot. We have a tremendous future and we have the right people to take advantage of that opportunity. We are continuing to focus on providing outstanding customer service with exceptional expertise in each of our businesses. Our customers are demanding convenient on-time dependable and effective service and accessible to the variety of devices. Leveraging our resources developing the right customer centric digital and mobile technologies and executing, we are confident in meeting these demands. Again we had a great quarter and took another step and position ourselves as a lead provider of essential services. We are confident in our future and our ability to deliver to our shareholders and look forward to sharing our performance with you in coming quarters. So I’ll turn it back over to Jim to get into the Q&A part of the call. Jim?
Jim Shields: Thanks Rob. As a reminder during the question and answer session we encourage you to ask any questions that you may have but please note that guidance is limited to outlook we have provided in our press release and webcast presentation. Additionally, since the queue is long this morning please limit your questions to follow-up questions. Now I would like to turn it over to the operator.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Denny Galindo with Morgan Stanley. Please proceed with your question.
Denny Galindo: The new Terminix revenue has been driving much of the revenue in our model. And I was curious if you are doing again different in marketing, if it’s really driving that revenue? Are you going after different account, are you using different channel and then ultimately when will we see the customer count start increasing in Terminix?
Rob Gillette: Yes, I think somewhat we have covered in the call is reposition in the base product and creating new offerings and in terms of finishing the product historically we’ve done well on the revenue side, we think that we’ve lost unit share of volume which also strongly support to the customer count, and I think that the team has a good plan in place to address that I think externally in our report, we include the innovation sales as well from Triminix line, so you would see a small amount of that growth again all each other services and things that will focused on will grow in the other services and expanding the offering that Triminix has. So we always report that separately at this point, but we’ll focus on.
Denny Galindo: And then a longer term question, your balance sheet is improving, you balance, and cash is increasing with the shift of Frachise that will be even last capital expenses, as looking like by 2017 you will be really generating a lot of cash and be under levered, so when you think about that kind of medium term outlook, what’s the next steps of this company, are there new segments you would eventually add, would you serve buyback just a lot of shares aggressive international expansion in the cars, can you give us any help on what to think about the company after you get to your right leverage level?
Rob Gillette: Alright. I will start off and then Alan cash shift in on the balance sheet. We have always said that we felt like regarding the 3.5 to 4 times that we evaluate alternative uses for our capital and as we entailed as we have been focused on debt pay down in a high yield as Alan mentioned interest part of the -- So we have done that, we will continue to do that. We will always continually look at acquisitions, we continue to give a tuck in acquisitions in Terminix and we look at to the product offering of -- so we will continue -- plan as well. And then I think in early '16 or mid '16 we will decide what we do up on the balance in terms of cash with all the items you mentioned being alternative that we have considered and yet to decide upon. So Alan if you want to add.
Alan Haughie: No, there is not anything I would like to add really. As Rob mentioned if this trajectory as we always going to hit back uniquely about 3.5 to 4 times net leverage and soon at the and of ended this year. So that -- first quarter turns out to offering, next years when more for coming on a next significant stage in our capital structure, our capital strategy.
Operator: Our next question comes from the line of Gary Bisbee with RBC Capital Markets. Please proceed with your questions.
Gary Bisbee: Hi. You did really well at AHS, I guess my question is sort of a picture one. You have talked about in past calls moving some of the marketing spend to some newer channels internet seeing benefits in better acquisition costs. How confident are you that as we continue to scale the marketing investment, you would be able to maintain those acquisition costs and drive continued growth there? Is there some chance that you are getting sort of easy opportunities now, but at some point it gets more difficult to find that same person for the servicing costs? Thanks.
Rob Gillette: Well, I think first that you have to consider the point duration in the market of 3% to 4% and our meter in terms of the next incremental dollar of the yield that we get as always our cost to acquire. And so you mentioned before what the investments have we made, we basically are flat in our cost to acquire new customers -- So all the individual avenue that we are pursuing are working and therefore we continue to invest in that area, to drive growth and this is where we can demonstrate and correlate the investment in marketing to yield and with the smaller penetration in the market I have been created awareness of the product offering and value that provides the customers is continue to drive growth. So I always keep that costs per customer EPS in line and measure it continues late in so far all of the investments is paid off very well.
Gary Bisbee: And then follow-up Alan do you say, you change the revenue, how you recognize revenue, is that just seen…
Alan Haughie: Let me clarify that. We recognize with shareholders pre-determinant, it looks basically the last few years of history and sets a revenue in advance of the year. And it’s only thing I mentioned is because is about the first quarter we have 9% organic growth in Home Shield. So it’s coming out in the second quarter and revenue local organic was about 8%. I know as we do it, it was about $4 million to $5 million of revenue this is essentially been shifted and just in the line Q2 to Q3, so I know that revenue is there I can see in the customer account. So I didn’t want any of the customer to think that rates of organic growth was shallow in the second than the first, otherwise that we’ve been reduced that complication that was a point I really trying to make. If you look at the customer account and grow in American Home Shield, it’s 7 percentage points and which you would add a couple of points at least to the prior thing. So you’ll know that the implying revenue is going up over 9%.
Gary Bisbee: And there is a cost of that same shift to share? Thanks. I appreciate it.
Alan Haughie: Not really, I mean is that roughly globally, the revenue is globally anticipation of where the costs are going to be and that is going to set. So the costs start flowing in what you see in terms of the costs going in second quarter or the actually costs. So all of the claims activity and reference has been added more expense in the second quarter.
Operator: Our next question comes from the line of Andy Wittmann with Robert W. Baird. Please proceed.
Andy Wittmann: I guess my first question is for Rob. Rob just from one of the introductory slide, you talked about kind of the growth revenues in terms of your business and I wanted to focus on Terminix and move, I know it’s a move I guess interested question here. But core Termite traditional pest is a very good business make a lot of money there and growth market certainly have been a key contributor, obviously since the IPO and probably will continue to be. But I guess strategically, what is the investors force to read into this. I mean other growth markets really where the focus point is and we’re just going to do that the core traditional businesses and I guess I want to think about the annuity that comes from contractual regular visits in your value of that versus these new markets. I am just -- how you are thinking about emphasizing these two sides of the business.
Rob Gillette: Okay. that's a good question. And I would say -- we like that core presence that we have and we want to grow it. We want to expand it, we prefer to have expanding customer counts so we are focused on a lot of fronts, that's what we talked about in some other product offering and how we changing the way we go to market somewhat with what's happened in a marketplace. So we want to make sure that we get our share of that volume and increase our penetration and I think because our product is the product positioning, we have got the dollars but fewer units which we mentioned on call. So I do not think that focusing on other things that we expensed out, I think back to a lot of our discussions before is with the only people that we quote the customer count metrics and is a contract with customer counts. And that's what we continue to report on. So in some instances in quarters in the past the customer counts so we want to make sure that we focused on the product to position that growth, but we also see significant opportunity to add additional services to our loyal customers which is importantly in terms of long-term value but also retention of those customers. So we are able to do a number of different things with them and always in a way to spin out some products are targeted at and historically have been with the core customers base that we have. So adding more services and value and being in front them I think helps us create long-term value and relationship overtime to maintain those contracted measures.
Andy Wittmann: Okay. Thank you. And my follow up is for Alan. Alan I just wanted to understand some of the lumpiness in the investment change net for the year or last year you said flat. So help -- should we as investors and analysts continue to expect this kind of lumpiness? And is the lumpiness that we saw in the quarter purposeful like you know you have had some of these embedded gains, you also knew that you had some of the increased marketing costs and so the kind of smooth earnings for all us and help the predictability, this is purposeful or how should we think about these gains as we march through the future?
Alan Haughie: The majority of the portfolio has now been actually balanced to lower yield. So the majority of the significant gains has now been realized. The second point is, no I would say to smooth earnings but to create the marketing dollars, I think we view -- into the second quarter and -- so. It was little bit to provide funds that evolved in EBITDA through the funding our present marketing and that's what we sort of expect gains in this level going forward as I said because of portfolios that we balance now, so yes it was driven.
Operator: Our next question comes from the line of Anjaneya Singh with Credit Suisse. Please proceed.
Zach Bakal: I just wanted to ask some questions about the AHS marketing spend, it looks like you have been quite successful there as like-for-like growth greater than 9%, is just one opportunity that you might see in some of the other segments increased marketing spend in accelerate growth as well, or is this kind of spending a unique to AHS given the low penetration in that segment?
Alan Haughie: Well, I’m -- as last year and we’ve invested strategically in expanding market investment in Triminix as well. So I think a lot of what we’ve learned in American Home Shield on a digital medium side, we’re looking at train as well and so it’s really have an opportunity to achieve the correlation of spend in the growth and then that TPS value same and hovering around the same dollar amount which tell us that the yield is very good. So we learned a lot about addressing and interacting with customers in all kinds of different ways there has been still the traditional methods, still holds the right contact by owner or direct mail or all kinds of other media and digital media. So it is something we have learned how to improve and focus on and AHS will continue to invest in an expanding what we do in Triminix to drive growth. So I think it is definitely going to improve there, as currently advantage is having advantage that having different groups different stages to check advantage of what we’re learning than translate to the other companies that we’ve got.
Zach Bakal: Thanks for the color and then what we’re talking about Terminix growth, you call it a couple of different markets in your presentation, and we didn’t really hear much of an update on what’s happening in the commercial segment, I’m just wondering whether or not the unit share a loss in the customer count on decrease, something you are seeing in that segment as well or whether not penetration trends are little bit more positive in that aspect of the market?
Alan Haughie: So on the commercial side it’s up about 9%. So we are seeing growth in commercial and we are assuming to pursue that market as general extent. As our portfolio is smaller than others so we see it as an opportunity to growth the business and develop the relationship which takes time and it’s a different method in markets and different sort of protocol, I think we have mentioned earlier that we saw opportunities to focuses on that and we are growing that business slightly. So we are pretty happy with that progress and we want to be more of a such in the future.
Operator: Our next question comes from the line George Tong of Piper Jaffray. Please proceed.
George Tong: In the termite business, can you elaborate on some of the potential strategies you may adopt to combat the impact from switching from liquid to bet?
Alan Haughie: I think to the extent that I mentioned in my comments or presentation, I think there is different way to approach to customers both curative and preventative and there more products that we bought for every time and we think that we execute in different ways in the future and that what I have referenced in the context of comments during the call. So we think that there is opportunity to expand our market penetration on these efforts and that's what we’re working on.
George Tong: Okay. Got it and if you look at the extent of cross-selling between Terminix and American Home Shield today, where you got level of past selling currently in, could you discuss some reactions you are taking to promote cross - where you hope to take the percentage of customer overlap going forward?
Rob Gillette: Yeah. We have practiced a number of different things that are in our areas where we are bringing successful during it and I think we want to do more of it. So I would say there is single digit overlap today in our core customer base between AHS and Terminix and we think it presents excellent opportunity for us to expand our relationship with customers by offering additional services including AHS types 1, 2 to Terminix customers and Terminix to AHS customers. And given some evaluations and analysis about maybe new and different products what we could present in the future. So we will tell you about that once we sold them out.
Operator: Our next question comes from the line of Jeff Volshteyn with JPMorgan. Please proceed.
Jeff Volshteyn: Just going back to the termite business, what is competition using both types of products?
Rob Gillette: Similar products to what was used today over the last couple of years has been a shift towards and preventative area. And so before that it was predominantly liquid as you are calling out. So I think that's changed the dynamics somewhat than we used similar products in the marketplace.
Jeff Volshteyn: Okay. And so when I look at the quarter results for termite business it seems that customer retention is improving, renewal to decreasing a little bit. Are you able to communicate and sort of numeric target for, there was position enough for it? What do you expect to see either I mean renewal metric or retention metric?
Alan Haughie: Well, I think in terms of termite, we probably see, in the context of this moving towards this preventative market as we anticipate improve both, certainly improve renewals metric as well as the customer count metric. And that's basically the preventative market and as we do not have a huge presence into those , majority of those businesses in different areas to a greater extent. We are able to help renewals and focus on them.
Jeff Volshteyn: Okay. And quick question on AHS with the new or slightly shift in mix of customers, what is amount percentage of claims that end up in a replacement particularly on the AC systems?
Alan Haughie: I am not sure. Yes, I am sure about statistics changed a lot from those nearly about 12% of claims because everything we go into that in a reflection.
Operator: Our next question comes from the line of Sara Gubins with Bank of America Merrill Lynch. Please proceed.
Sara Gubins: The guidance suggest that adjusted EBITDA margin expansion will be much lower on a year-over-year basis in the back half of what it was in the first half, can you talk about what’s the balance of this is higher marketing stand versus other areas of investment that it sounds like it’s probably fair to think about the second half and being more, reasonable run-rate or incremental margin what you saw in the first half is that fair?
Alan Haughie: Yes, you answer of the question yourself, but there is to be the degree of an incremental spend in the marketing, that was shallow down from EBITDA growing from the second half for the year that's what our primary focus. If you look at how successful the spend in the second half of 2014 has been in terms of pushing American Home Shield group into 2015, it is hard to argue against continuing that rate of investment to enjoy that rates of growth but I think as we’ve said, the rate that which we’ve added new customers and the improvement on the renewals for plenty of those, in many of our existing customers by virtue of our marketing held up to surprises. And if you think about it really aims to do whether it has not seen any material change in the unit cost of acquiring customer than the most sensible cost of action is to continue supply as many excess dollars as becoming to our marketing but still hopefully kicking or beating us to somewhere $10 million target and we’ve not basically we asked you question…
Sara Gubins: Okay. And then separately the funds if I can touch the note that you are getting pricing in both the Triminix and pass, could you tell us where you’re able to pick pricing where maybe its flat to down?
Alan Haughie: It’s basically flat, business but our top pricing is universally up, the only area and it's so minor at the moment that it has no real significant impact because lowering the price of our preventative offering, and into the marketing as we don't have a sufficient profit anyway. So that's part of our strategy in the core termite business to regain that business, to gain core termite customers. That’s really the only price movement that we make but contrary across the board, our prices are up year-over-year and so expected to prevent so much effort.
Operator: Our next question comes from the line of Dan Dolev with Jefferies. Please proceed.
Dan Dolev: You’re making obviously a big push to those one-off services and my question is maybe can you quantify in past control what the proportion that’s been driven also these one-off services today versus say a year ago?
Alan Haughie: It’s tough, I mean when you look at the second quarter this year, it’s about particularly one-off services essentially did impact in terms of one-off spread by mesquites, try to make a contractual. But I would say year ago, close to maybe 9.5%, 10% of one-time services impact on service closure to 11.5% something like that in this first quarter. Again another shocking in higher increase, but of course it is reflected with counter-balance in the number of customers and essentially we do stress it. But I tell you also it’s very favorable revenue, did not an asset powerful revenue, is that 38% year-over-year. So number of these factors are significantly increasing outside of the quarter.
Dan Dolev: Is there any impact of one-off services and contractual pest control service or…
Alan Haughie: With some of that, it’s interesting topic, because not aggressively push that changes, but we don’t necessarily aggressively push the contract itself. The IPO the sort of the full we want to make our customers a large that make the new business with us. So that initial preference it’s for our service and half of treatment than for different.
Dan Dolev: And how is that, that’s exactly what I mean, how those conversation in statistic about X percent of customers that have past for the one-off non-contractual today versus then based on the fact that you’re not pushing the other one right?
Alan Haughie: No, that we have a statistics or I can include that. But obviously you know it’s a fact and I know consider as well which is several changes remain in the second quarter. Again on how will that street is only perform on the inspection for example our Terminix customer during the -- when the customer is actually not old one, having that so technician actually meet the customer and we back again, allow us to generate additional sales with our existing customers with our simply by virtue to about face to face contact and again by generate, it was some one of non-contractual services sectors capsulation vertical excluding work. By virtual being at home to perform the Terminix inspection. And so that sort of activity term being, so many of the one offs are generated on the back are relatively of with some contracted customers.
Dan Dolev: Understood and so just one last clarification, so the decline you may have answered it before, so sorry friends, the decline in pest potential to 60 basis points decline year-over-year that's not because of that drive?
Alan Haughie: No.
Dan Dolev: So what is the nearly cause for that, retention decline?
Alan Haughie: The retention decline in pest, it is the so I may be as well you checking about what my last comment which was to do Terminix, we have Terminix inspection, so jumping on to the pest, obviously the change in pest retention, given that to Terminix business, some of the pest retention losses of modest change will be by virtue of this mix shift in business, yes. But again, the retention rate in the renewable level of services still remains very high.
Operator: Our next question comes from the line of Michael Freeburg with Greenwich Wealth Management. Please proceed.
Michael Freeburg: Good morning. Did we set the news the health of all poor members of the Delaware family who are poisoned in St. Johns are remains dire are the results of your investigation complete and will there be a released?
Alan Haughie: We are continuing to cooperate with all authorities and continuing to make assessment, so we don't have the complete as of yet and we are respecting all participants in the family included and not discussing. So we have no change into our communication of it.
Michael Freeburg: And when you are clear, will they be released?
Alan Haughie: We haven’t made that decision yet and again it would have more to do with restructure those involvement and doing the right things.
Operator: Our next question comes from the line of Andy Whitman with Robert W. Baird. Please proceed.
Andy Whitman: This question kind of have been asked but I want to maybe ask a little bit more directly which is the Terminix segment customers loss in Terminix, you have been, I guess you have said, you’ve cast a couple of different strategies and how you go to market, there has been a couple of months now including during the storm season, I guess coming out of that, one of the lessons that have learnt in you are gaining confidence in the reasons for the customer loss and corrective actions to address it from here?
Alan Haughie: Yes, I think again as we talk about during the call, there has been change in the products offering in bit in general which we led on quite honestly in mix two bit and I think that shift, whether it's as Alan mentioned either preventative or curative meaning you have a problem that you can visually identify or not which has been preventative has impacted the market, so the main product is the higher price product but it’s something where you work and come back and make sure that there is not activity at the site and evaluate. The bank and refinance there is an issue where over the bank station is located and you treated with other types of material in that. So it’s been a change in a marketplace which is increased in the revenue, as I said, so we maintain our position in terms of revenue share on a unit basis, it’s something that we think we need to address and so we believe that the actions that we are taking mentioned during the call or kind of give us the abilities to grow our unit count and revenue count going forward.
Andy Whitman: All right, one of the go over to franchise service and group and just talk a little bit more I think when you first announced the movement for selling the company owned [indiscernible] EBITDA neutral, not that were a little bit at that path, do you still feel like that’s the right way to think about it or may be just a little bit to alluded but still the right thing for the company.
Alan Haughie: We are still find it correctly and for EBITDA margin, it won’t be deleted and the modest to decrease in [indiscernible] EBITDA this quarter not as a result of the many of that and which is particularly. So we are committed to the course of action meaning to the right thing, I mean we won’t see a traction of the strategy really until its complete and kind of the different franchises [indiscernible] consistent strategy for growing those franchises but that will move to follow from finishing the last [indiscernible].
Operator: There are no further questions at this time. So you can please continue to presentation and closing remark.
Alan Haughie: Okay. All right thanks everybody for participating today’s call. As a reminder a replay of the call will be available on our website in about an hour from now. So again appreciate your participation and look forward to speaking with you in the future.
Operator: Ladies and gentlemen that does conclude the conference call for today. We thank you for your participation and as such you please disconnect your lines.